Operator: Good afternoon. Welcome to SunPower Corporation’s First Quarter 2020 Earnings Call. [Operator Instructions] Please be advised that today’s conference maybe recorded. [Operator Instructions] I would now like to turn the call over to Mr. Bob Okunski, Vice President of Investor Relations at SunPower Corporation’s. Thank you. Sir, you may begin.
Bob Okunski: Thank you, Lateef. I would like to welcome everyone to our first quarter 2020 earnings conference call. On the call today, we will start off with a strategic overview from Tom Werner, CEO of SunPower, will also provide an update on our SPES business; followed by Jeff Waters, CEO of SPT and Maxeon, who will discuss our international business; Manu Sial, our CFO, will then review our first quarter 2020 financial results before turning the call back to Tom for guidance. As a reminder, a replay of this call will be available later today on the Investor Relations page of our website. During today’s call, we will make forward-looking statements that are subject to various risks and uncertainties that are described in the safe harbor slide of today’s presentation, today’s press release, our 2019 10-K and quarterly reports on Form 10-Q. See those documents for additional information regarding those factors that may affect these forward-looking statements. To enhance this call, we have also posted a set of PowerPoint slides, which we will reference during this call on the Events and Presentations page of our Investor Relations website. Please note, we have provided a number of additional data slides in the appendix of our presentation deck. In the same location, we have also posted a supplemental data sheet detailing some of our other historical metrics. Finally, I’d like to highlight that Maxeon Solar Technologies is planning to host a Capital Markets Day prior to the close of the spin transaction and we will provide details on the timing as we get closer to the event. With that, I would like to turn the call over to Tom Werner, CEO of SunPower. Tom?
Tom Werner: Thanks, Bob and thank you for joining us. On this call, we will provide an overview of our first quarter performance, address how we are managing during the COVID-19 disruptions and highlight what we are well positioned to emerge from the current environment in a strong competitive position. Let’s start with a recap of our first quarter performance. Please turn to Slide 3. We executed well in Q1 exceeding our guidance by posting positive EBITDA in a seasonably weak quarter. Our U.S. channels business continued to outperformance strength in all three segments, residential new homes, residential retrofit and the commercial dealer channel. Internationally, we saw strong year-on-year shipment growth in spite of the COVID impact starting late in the quarter. We took rapid action both internally and externally to manage our cost structure and ensure supply chain continuity. In spite of the disruption, we continue to invest in our industry leading technology, including next-generation Maxeon technology, Equinox storage and digital. Finally, I want to reiterate that the plan spin of Maxeon is expected to be completed by the end of the second quarter pending regulatory approval and assigning the financial facilities. Now I’d like to spend a few minutes highlighting the actions we have taken to address the current COVID disruption. Please turn to Slide 4. First, our primary focus during this pandemic is the safety and wellbeing of our employees, while working closely with our partners to continue to serve our customers. Some of our key actions include implementation of the work from home program for over 1,500 employees, a rapid and comprehensive transition to online sales in our residential business. Continued investment in our industry-leading technology to position the company for future growth. And finally, implementing actions to streamline our 2020 cash flow and cost structure by up to $100 million with up to $500 million in available liquidity over the next 12 months. I’d like to spend the balance of my time explaining why new SunPower is well positioned for success after the Maxeon spin. Please turn to Slide 5 for a review of Q1 performance in our SPES channels business. Our channels business delivered a very strong quarter, primarily driven by our U.S. residential business installed house rose 50% year-over-year and delivered strong gross margins and what is historically a seasonably [indiscernible] Residential bookings increased 10% year-over-year and our new homes backlog expanded to greater than 45,000 homes. Our installed base now exceeds 2.5 gigawatts and 317,000 customers. Finally, we are confident we have sufficient tax equity and project finance capability to meet our residential and commercial financing needs through 2020, including our recently announced $1 billion loans partnership with Technology Credit Union. On Slide 6, we outlined our leading position in the transition to online sales as well as our success in digitizing the customer process from end to end. We have been investing in digital tools for years and significantly ramped our investment in this area two years ago. Over a year ago, we began direct-to-customer online sales and refined the technology and process to improve close rates. This head start has positioned us well for the COVID pandemic as we were able to quickly train over 2,000 members of our dealer network using our existing tools and training procedures. As a result, our channel has been able to transition quickly and comprehensively to an entirely online approach. More than 95% of SunPower generated appointments are now conducted virtually and subsequent installations completed with low customer contact. Additionally, we recently rolled out a zero down plus six months on us lease and loan programs to drive further demand through our online channels. Our rapid transition to online sales was enabled by the SunPower Design Studio application, which allows homeowners to design solar systems on their own roof in real time. Since rolling this ad in Q3 of last year, SunPower customers have already completed more than 40,000 designs. SunPower Design Studio reduced it design turnaround times from 30 minutes to 30 seconds, allowing homeowners and their virtual sales representatives to create and review a variety of solar design options in real-time. Finally, we recently launched our mySunPower dealer portal across all our channels, any point digital signatures on all documents necessary to complete a system sale. Also we are working closely with local jurisdictions to accelerate remote site inspection and permitting as part of mySunPower platform. In summary, our investments in digital are driving lower customer acquisition costs, streamline sales and installation process and providing our customers with the superior experience. As we look forward to the current quarter, our digital platform is playing a key role in our efforts to manage the business through the current disruption. While we expect Q2 to be challenging, we encourage that demand trend stabilized by mid April and have shown improvement over the last two weeks. I’d now like to review some key elements of our strong competitive position in U.S. residential, small commercial channel and new homes markets. Please turn to Slide 7, first, our unmatched residential and commercial dealer network. Our dealer network now in seats 500 partners nationwide, including 35 SunPower branded master dealers. Our master dealers accounted for a record 50% of our revenue in the first quarter. We added three new master dealer partners during the quarter and expect this group of loyal partners will continue to drive a large portion of our sales. We also continue to see significant expansion of our unique small commercial dealer network where Q1 2020 volume was twice the same quarter as last year. Next let me review our continued leadership in the new homes market. Our market share in the new homes market remains above 50% with strong growth driven by the California new homes mandate. Our contracted new homes backlog exceeds 180 megawatts. This leadership position is built on sales to 18 of the top 20 California home builders. We have over 600 active home communities in development right now. This past quarter we reached a major milestone with KB Homes where we installed our 10,000 system. Despite the current disruption new home installations are proceeding and we expect the top 50,000 cumulative installations by the end of the second quarter. To further our lead in this market, we are developing an array of new products specifically designed to the new homes market that we will be announcing shortly. Please turn to slide 8 where I’ll provide an update on our Equinox Storage Solution. Equinox storage is a next major evolution of our Equinox energy platform, giving homeowners more freedom from utility outages and expensive peak electric rates. With Equinox, homeowners can store energy for full or partial home backups during blackouts and reduce daily peak electricity consumption. Most importantly, Equinox storage is the only fully-integrated residential system designed, engineered and warranted by a single company. Equinox storage also offers residential customers significant advantages compared to our competition, including longer lifetime, fewer boxes on the wall, modular footprint and a superior warranty. Equinox storage is expected to have a significant incremental impact on our residential business beginning in the second half of this year. Customer demand for our solution is very high, particularly in California. We are beginning sales and installations through our direct channel this quarter and will expand to our dealer network early in Q3. Finally, I’d like to briefly cover our Commercial Direct business on Slide 9. We undertook a major restructuring of our Commercial Direct business starting in the second half of last year. We’re beginning to see the benefits as efficiency outperformed our forecast in the first quarter. We expect sequential improvement through 2020. For the quarter, we achieved a number of important milestones. The business is close to breakeven on EBITDA basis and we expect profitability in the second half of the year. We significantly improve the overall cost structure with the business. We continue to add to our backlog we now have 90% of our forecasted 2020 business currently contracted. We are on track to achieve our target model of margins in excess of 50% and are driving the positive cash flow by the end of the year. Demand for our Helix Storage product remains high with attach rates in excess of 30%. We expect that this program will drive material adoption and storage with new customers across our 1 and across our 1.5 gigawatt installed-base. Finally, we are seeing minimal COVID impact on our commercial business given the longer lead times in essential services status with local authorities. With that, I’d like to turn the call over to Jeff Waters, CEO of SPT and future CEO of Maxeon. Jeff?
Jeff Waters: Thanks, Tom. Let me start with a quick review of SunPower Technologies’ first quarter performance. Please turn to Slide 10. SPT delivered strong year-on-year growth with overall Q1 shipment volume of close to 30% versus the previous year and then increasing mix of P Series products. Overall, revenues were up 9% driven primarily by DG market revenue which increased 28% and comprise over 70% of total Q1 revenue. This growth speaks to the long term fundamentals of our business and to the strength of our more than 1,000 global channel partners. Our Q1 performance felt the impact of both supply and demand reductions caused by COVID-19 disruption in our core markets beginning in March. This add us idling all of our factories at the end of the quarter as a result. I’d like to now elaborate on the current status of our global manufacturing fleet. Please turn to Slide 11. With the exception of our HSPV, P Series joint venture in China, which is currently operating at full capacity. All of our factories were in warm idle for the majority of April. Just this week we have resumed production in our factories in Malaysia, France, and Oregon, and we expect that we will be resuming production in our remaining factories in the Philippines and Mexico this month. We’re working closely with local governments on the safe reopening of our factories. And based on current projections, we have sufficient inventory on hand to meet the vast majority of our customer commitments from the second quarter. Now let me cover our capacity expansion plans. Please turn to Slide 12. 2019 shipments totaled approximately 2.5 gigawatt split evenly between IBC and P-Series technology. Looking forward, these charts show plant capacity expansion through 2021 compared to our 2019 capacity. Let’s start on the left hand side of the page with our IBC technology. Well, total capacity will increase only slightly. We will be converting our 10-year-old Maxeon 2 technology to Maxeon 3 to our latest Maxeon 5 technology, increasing the supply of our highest margin product by that report. Funding from TZS is part of the Maxeon Solar spin-off transaction will allow conversion of further lines, and we expect to have 4 Maxeon 5 line players in place by the end of 2021 with a capacity of around 1 gigawatt. The chart on the right shows our plant expansion of our P Series technology through our HSPV JV. This expansion will more than double P Series production to 5 gigawatts with our supply allocation from the JV increasing to over 3 gigawatts in 2021. We’re working closely with TZS on a highly automated mask designed to handle the new 8-inch G12 Weber format. This technology will enable us to produce industry leading 500 to 600 watt panels targeted at the global power plant market. Finally, the capacity expansion shown on this slide will be achieved with total CapEx expenditure. There’s a small fraction of the investment in our legacy fabs. We’ve dramatically improved our historical capital productivity via combination of process innovation, reuse of existing fabs and use of the capital-lite manufacturing partnership model for our P Series technology. Looking forward, let me articulate some of Maxeon key objectives post spin. Please turn to Slide 13. First, we believe that we are well positioned for rapid growth once we exit the current industry disruption. We serve large and growing markets with differentiated products that we believe will allow us to gain share both DG and large scale applications. Infusion of liquidity associated with our spinoff will provide capital to upgrade our Fab 3 in Malaysia to higher value technology. We will also benefit from the capital-lite multi-gigawatt expansion of our HSPV JV. Second, we were made committed to expanding margins starting with the transformation of Fab 3 from our legacy Maxeon 2 capacity to our new lower cost, higher efficiency Maxeon 5 technology. We also plan to leverage our global go-to-market channels to expand our product offering while extending our dealer channel footprint into new markets. Finally, we believe that risk mitigation is a key attribute in an industry as dynamic as solar power. The spinoff of Maxeon Solar will allow us to accelerate our technology development and deployment cadence, maintaining our historical technology differentiation versus our competition. We believe that the diversification of our customer base with geographically and by market helps insulate us from country or application specific policy driven disruptions. We believe that our strong base of global investors and partners provide deep industry insight, supply chain visibility and global demand market access. With that, I would like to turn the call over to Manu Sial, CFO of SunPower.
Manu Sial: Thanks, Jeff. I’d now like to discuss the financial results for the quarter. Please turn to Slide 14. Overall, we were pleased with our financial performance for the quarter as we exceeded our EBITDA guidance added to our backlog and further delevered our balance sheet. We believe that our differentiated business model, industry-leading technology and strong balance sheet will be competitive advantage in the current environment and for when conditions return to normal. Additionally, we have put into place a number of cash cost initiatives to manage our business due to the disruption while continuing to invest in technology that increases our offerings to our customers and execution efficiency. Finally, we continue to focus on improving transparency by adding incremental data metrics on key value drivers of our business, including some SunStrong JV. Moving on to the specifics of the quarter, non-GAAP revenue rose more than 10% versus Q1 2019, as we benefited from strong execution in both our segments. In SPES, revenue rose year-over-year with particular strength in our channels business with C&I direct improving and making significant progress on initiatives. We expect C&I to be more resilient in the current disruption, given the longer project cycle times, the value proposition for customers as well as the economics of storage. For SPT, we shipped approximately 580 megawatts, up 29% year-on-year. Consolidated non-GAAP gross margin was 13%. In SPES, gross margin was up year-over-year, driven by an excellent performance in residential and better execution in our C&I direct business. We expect C&I direct business to return to profitability in the second half of the year. In SPT, gross margin was in line with forecasts and up year-over-year on solid DG demand and a better mix. Non-GAAP OpEx of $69 million for the quarter, as we continue to invest in our next generation technology. We have taken a number of steps to lower our expenses and expect double-digit decrease in 2020 OpEx versus 2019. CapEx for the quarter was $6 million consistent with a Maxeon 5 ramp Fab 3 with our second line now in production. Post-split, we expect that New SunPower will have minimal capital needs and Maxeon Solar CapEx will be more than covered by available liquidity and enhanced capital efficiency. Adjusted EBITDA was $9 million and ahead of guidance. I would now like to discuss key financial highlights of the quarter on Slide 15. We exceeded our margin and EBITDA guidance for the quarter, showcasing the strength of our underlying businesses. In SPES, we benefited from strong execution in the channel business as residential installs rose 20% year-over-year, and 7 megawatts more than doubling. New homes installs also rose to the quarter by bookings doubled. We remain confident in our goal of second half profitability for our C&I direct business, given its first quarter execution and a significant portion of our 2020 forecast is in backlog at the end of the quarter. Finally, exiting first quarter, we believe that, we have sufficient tax equity and project financing capacity to meet our 2020 needs. For SPT, we were also pleased with our performance despite the late quarter impact of global shutdowns, which are international demand and Fab utilization position. That being said, we were been able to mitigate the situation given our strong backlog and ability to meet the needs of our customers to effective supply chain actions and existing inventory. Finally, in response to the COVID-19 disruption, we instituted a number of initiatives that includes salary reductions, reducing discretionary spending, and rationalizing our CapEx. As a result of these programs, we expect to realize cash and cost savings up to $100 million for 2020. We also undertook a review of a liquidity position and have approximately $500 million in liquidity sources for SunPower over the next 12 months. Please turn to Slide 16, where I will provide more details on these sources. We ended the quarter with $205 million in cash, which included retiring approximately $90 million in our converts, as well as our typical seasonal Q1 inventory bill. Additionally, cash collections for the first quarter, where below forecast even timing of payments though we have already collect – recovered all of these collections. Our $55 million revolver that by total remains undrawn. We also expect to monetize 2 million shares of ENPH stock over the next 12 months. We also expect to collect cash from non-core assets sales. Finally, we will receive $50 million in net proceeds from the maximum transaction. In summary, while current conditions are difficult, we believe SunPower has the right model, the right technology, and a strong balance sheet to manage through this crisis and emerge as an industry leader. With that, I will turn the call back to Tom for the guidance. Tom?
Tom Werner: Thanks, Manu. As previously announced, we continue to assess the impact of the COVID-19 crisis on our financials on our fiscal year 2020 forecast. As a result, we will not be providing fiscal year 2020 guidance at this time. I would now like to discuss our guidance for the second quarter of 2020. Please turn to slide 17. Company’s second quarter 2020 guidance is as follows: revenue of $290 million to $330 million on a GAAP and non-GAAP basis. GAAP gross margin of negative 9% to negative 3% and net loss of $120 million to $100 million, on the non-GAAP basis, the company expects gross margins at zero to 6%. Megawatt recognized in the range of 340 to 400. We also expect cash generation to be breakeven to slightly positive in the quarter. We expect second quarter adjusted EBITDA in the range of negative $40 million to negative $20 million with SPT in the range of negative $25 million to negative $15 million, and SPES in the range of negative $10 million to zero. In summary, Q1 was a solid quarter for the company as we executed on our strategic initiatives and positioned the company for a strong profitable performance post the pandemic. With that, I would like to turn the call over for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Weinstein of Credit Suisse. Your line is open.
Michael Weinstein: Hi, guys. Thanks for the question. Hope I’m doing well. Hope you guys are doing well too. Hey, are you – can you talk a little bit more about the impact on Commercial Direct business from just the financial stress on a lot of commercial customers at this point in time, especially going into at least the second quarter, if not the second half. I understand you’re pretty optimistic about third quarter and beyond, but are you seeing any pressure? And also once a sale is booked in your bookings is there a way for a customer to back out of that?
Tom Werner: Michael, this is Tom Werner, I and we’re all stay healthy and thank you for your question. And on the commercial side, I would say, almost a 100%, but not quite. I thought projects are proceeding. Different customers reacted differently. We do business with quite a variety with public sector being the largest. And some cases the customers asked us to pause construction and then we worked it out and restarted. In some cases, there was no interruption. In terms of specifically to your question, there’s only one example where a financial crisis has caused the project to be on pause and it looks like a long term pause. Every other project is continuing or will continue very soon. And we’ve already considered that one project in our prepared remarks.
Michael Weinstein: That’s good news. I’ll also hit with the solar and storage loan financing deal, how many megawatts of loan or lease financing do you have? And also just in general, are you seeing any kind of change in customer preference for loans versus leases in the crisis?
Tom Werner: Yes. So I’ll say a few words and then turn it to Norm. Michael, I – we’ve always allowed our customers to choose and not to direct them in one direction. To the extent that we have a program like as zero gallon six months on SunPower, of course that changes the mix on solar, and that’s happened, it’s only been in place for a short time. Norm, you want to comment further or next?
Norm Taffe: Yes. Happy to. Michael, solar the mix goes I think Tom iterated, right commentary, which is we pride ourselves with giving the customers that option. We certainly chose to make a introduction of a product with zero down and no payments for six months for loan and lease because we anticipated customers would want to conserve cash more than usual. But frankly, we’ve always had a fairly strong contingent of cash. It might not be quite as high, but I think it will still be strong and we expect it to come back later in the year. From a standpoint of your first question was around the kind of how much capacity we have. I would say on the – with the loan deal, we have – I would say virtually unlimited capacity between our existing partner and of course, now our new partner. I don’t think we’re going to have any capacity issues for years on the loan because we just added the $1 billion financial capacity. And on the lease side, we have capacity well through Q3, and we’re on our way to signing another extension of that. So we’re not concerned about our ability to provide financing options to our customers in residential.
Michael Weinstein: Got it. Hey, one more question about the batteries. Maybe can you talk a little bit more about the secret sauce that you guys have in your battery systems that give them an advantage over other battery systems? And then are you – do you have any plans to sell to third-parties? Or is this only going to be exclusively done through the SunPower dealer network?
Tom Werner: Yes. Mike, I’d say super quick comment, I think, Norm, the expert. We’re different because we are designing parts of both the hardware and all of the software ourselves. So it’s a strategic decision to do it ourselves, which had benefits of course, because we can pick the teachers that we’re going to differentiate on middle. Norm, you want talk about it.
Norm Taffe: Yes. Thanks, Tom. I mean, I think that first and foremost, one of the benefits of offering a complete solution is we can provide the customers with the unified experience from the software experience, to the monitoring, to the storage hardware and we can make sure it all works perfectly together. And very importantly, that also means the customer gets a single warranty, which covers the entire system. So you don’t have – if you have an issue, there’s no blaming other people or telling you to talk to another supplier. And that’s been super powerful for us before and what we call Equinox and storage really makes Equinox storage really even stronger. And I think this capability we think we have added some unique capabilities such that we can do this solution very elegantly with two box on the wall. And then we emphasized resiliency by building the systems in such a way that it can backup more of the home ability to any other solution on the market. So both peak power response and then the ability to cover more of the home are key elements that we think are super important, particularly in California. And then finally, I’d also emphasize, we’ve taken our approach we think is sustainable long term, which is we are battery agnostic. We will have ability to change batteries and drive as the battery cost curve comes down, we can test those onto our customers. Finally, your last, not to forget your last comment, obviously, right now the current plan is to sell through our dealer network. And we expect that to be as tremendous opportunity for us from a business perspective. And I would say after providing for new systems, I think there’s a great opportunity to go to our existing over 300,000 customers. So our next target market will certainly be our existing customer base. We may at some time in the future also pursue selling our storage system to non-SunPower customers. But that won’t be for awhile. Right now the focus is mostly new customers and then our own installed base.
Michael Weinstein: Got you. Thank you very much. Stay safe.
Operator: Thank you. Our next question comes from the line of Brian Lee of Goldman Sachs. Your line is open.
Alex Meisel: How’s it going? This is Alex on for Brian. So quick follow-up on that commercial, can you kind of speak in light of the strength you’re seeing in commercial? Can you speak to I guess the portion of the guidance in the channel business that will be commercial in Q2?
Tom Werner: Yes. So there’s two pieces to the commercial businesses today. Strengthened small commercial buddies in, that we call it CVAR or Commercial Value Added Reseller. That’s part of the channels business. And then the large commercial which is on separated, large commercial might be 20%, 25% total. And CVAR is valid as one-third of channels.
Alex Meisel: Great. That’s very helpful. And I guess switching gears a bit to this cost saving initiative. Can you provide a bit more detail on how much of that is temporary versus structural? I guess both on the cash and the cost side?
Manu Sial: Yes. So the way I think about the – up to $100 million of cost and cash savings, about 65% of that is cost. 35% of the $100 million is cash. A big portion of the cash savings is CapEx out of the $35 million, most of some of that is pushed out into 2021. From a cost perspective, I would say, there is a reasonable amount of cost savings that is structural in nature and would be permanent impact. As you think about our OpEx from 2019 to 2020, which is where a lot of it manifest, you’ll see double-digit decline in OpEx year-on-year.
Alex Meisel: Great. I appreciate the help.
Operator: Thank you. Our next question comes from the line of Phil Shen of ROTH Capital Partners. Your line is open.
Donovan Schafer: Hi guys, this is Donovan Schafer on for Phil today. Thanks for taking our questions. We probably, similar to Brian Lee with Alex, we’re navigating five concurrent earnings calls, so yes, a lot going on here. The questions, I have two main questions that revolve around the TZS and the spinoff transaction. So the first one, just because this is a hot investor topic surrounds or is around the $325 million debt facility and the $100 million revolver, that’s kind of part of somewhat, it seems to be a contingency in some ways in getting it closed and the MOFCOM regulatory approval. So on the financing side, can you give any color on your confidence in being able to get that secured and then on the MOFCOM, what attributes are they looking at or thinking about what are the kinds of things that they as a regulatory body are considering?
Tom Werner: And so it’s Tom, I comment you super briefly and then handed it over to Jeff Waters on that. We do expect to close this quarter now attending the two things that you asked about. On MOFCOM, we get feedback from TZS, our partner, and I sure Jeff’s comments will be based on that. And then Jeff with the team of people are actively managing to get raised shifts.
Jeff Waters: Yes, I was just trying to write the first piece on China regulatory. So all indications of that we learned through TZS that we’ll close in Q2. For financing, we expect the same. And now that said, certainly COVID and social distancing has made diligence and documentation less efficient since the teams haven’t been able to meet face to face. And we’re working effectively with over half a dozen banks in multiple countries. Now that said the teams including TZS and totality investors are fully engaged, we would expect to sign debt facilities in Q2.
Donovan Schafer: Okay, that’s great. And then a follow-up, so you talked about pushing some capital expenditures out into 2021 and I imagine that there’s probably also some others that have been delayed just into the second half of this year. So presumably in the initial negotiations with TZS and looking at the terms and the terms of the deal, if you’re pushing CapEx, does that change? Could there be some adjustments saying, they expected – the purchase equipment at such and such a stage of completion, but now with delayed CapEx maybe there’ll be less of that completed. Is that going to result in any kind of renegotiation or change of the terms?
Tom Werner: Yes. We can get the – what we’ve been able to do is short answers going to be no. That we’re able to make adjustments and it would be fair without effecting regulatory association. But I’ll let Jeff on add color to that. It would be fair to say that almost all the CapEx in the company now is in the upstream business. Jeff would be best to cover it.
Jeff Waters: Yes, I would say so. Yes, Tom is exactly right. The push out of the CapEx that we did, I would say, it was relatively small and I would say the main piece of CapEx frost for 2020, but strategically important to the deal is the Maxeon 5 build out in our Fab 3 in Malaysia and all of that is somewhat track and that is being managed and to the expectations that we had when we did the deal. So no impact on the deal.
Donovan Schafer: Fantastic. That’s great color. Thank you guys very much. I’ll pass it off.
Operator: Thank you. Our next question comes from the line of Colin Rusch of Oppenheimer. Your line is open.
Kristen Owen: Great. Thanks so much. I’ll continue the trend here. This is Kristen on for Colin. Thank you for taking your questions. First one, you’ve touched on it from a couple of different angles, but really wanted to ask about what sort of capital needs are you feeling from – seeing from your dealer network right now as you’re going through this downturn.
Tom Werner: So again, we’ll – Tom here, few words and I turn to Norm. We have 500 dealers, 35 of which are master dealers that master dealers tend to be financially resilient. And there’s quite a distribution within the remaining 465. And Norm can mention that the government programs have been quite effective with our dealer base. Many of whom have been with us more than a decade. Norm?
Norm Taffe: Yes. Thanks Tom, Tom. Yes. We were more concerned honestly at the beginning of the crisis hit that this might be a bigger issue than it’s proved out to be. I do think we are fortunate because we had to deal with network for over a decade that’s gotten stronger and stronger and particularly ablate. And so now more than 50% of our sales actually come from those master dealers, which are SunPower branded, 100% loyal and among the strongest we think in the country. So having – we have not had to provide financial support for those dealers. Even in terms of AR and receivables, there was a short-term, we saw a little bit of a spike in delinquency that has since come down to pre-COVID levels. So our dealers appear to be doing well. And as Tom pointed out, we were happy to see quite several of the dealers were able to get funds for the PPP program relatively quickly. And that also I think helped them bridge that gap. But now, as we’ve seen business start to turn back on, they’re starting to bring back crews that they may have furloughed. And of course, we’ve done the same with our direct installers. So we feel like we’re through the other side of that and business is starting to turn back up again.
Tom Werner: And Kristen I’ll let Jeff to say something about international dealers.
Jeff Waters: Yes. So in the outside of the U.S. we have over 1000 channel partners and that’s something – collections has been something we’ve been monitoring closely. And I would say we’ve been very pleased with our delinquencies and our receivables have held steady and what we would normally expect type levels. So I think it’s a function of different jurisdictions providing some incentives. But just overall there’s this whole management by our channel partners.
Kristen Owen: That’s very helpful. And maybe if I could extend out that conversation on international. If you could just talk about – remind us, where’s the energy storage product being produced and how should we think about your capacity to ramp on that?
Tom Werner: We’ll do two step it again. So, Tom just a few words. I’m proud that the assembly of the two boxes is in America. It doesn’t mean all the components are from America, but the two boxes one in Minnesota and one in Alabama. And so – awkward compassionate growth in particularly the battery because it’s probably played out interchangeable. Norm, can you add something.
Norm Taffe: Yes, that pretty much covers. I guess the other clarification is that at least initially the Equinox storage is for the channel, the North American business exclusively. So that’s what we’re bringing it out as part of our overall Equinox solution. And as Tom said, it’s assembled in the U.S. in a couple of different sites and then put together by our dealer partners or our direct install team at the customer.
Kristen Owen: But no real complex in the supply chain there that you’re seeing at this time.
Norm Taffe: No, supply chain has done that while they’re – we’re seeing – we’re not seeing any issues in terms of being able to ramp. Of course, we’re at the early part of the ramp. But right now everything looks good as far as ramping the product.
Kristen Owen: Great. That’s very helpful. Thank you again for our questions.
Operator: Thank you. Our next question comes from the line of Julien Dumoulin-Smith of Bank of America. Your line is open.
Julien Dumoulin-Smith: Hi. Good afternoon. Thank you so much for the time. Hope you all are doing well or as best as you can.
Tom Werner: Thanks, Julien.
Julien Dumoulin-Smith: Absolutely. I wanted to follow-up on the 2Q guidance here and understand a little bit of the bridge between your adjusted EBITDA and the cash breakeven stat that you put in the release. Because best that I read the science, I understand that there’s some account receivables that reversed in the quarter. But I know that there’s several of other cash items. And then within that, I imagine the close of the sale is assumed in that cash breakeven. If you do have some pivot in that, I suspect you have other liquidity sources too. So just maybe talking about that bridge and then some of the other elements in your liquidity too?
Manu Sial: All right. Julien, this is Manu. A couple of things. One excess of $500 million of liquidity at the end of first quarter looking to 12 months out. Specifically on second quarter, let me talk about a couple of operational items that we give from the EBITDA guidance to commercial positive cash. One of it is the collection of receivables you’ve talked, right. And the second is the optimization of inventory. So both those items contribute to cash generation. The guidance does not include the $50 million from the Maxeon transaction.
Julien Dumoulin-Smith: Got it. But just to be clear, in terms of other liquidity sources that you have available, are you assuming, for instance, in that bridge further sales of shares? Or how do you think about just the remaining items there? Again, assuming some delay or the risk on the June close here?
Manu Sial: Sure. So let me answer the question a couple of pieces. So one, the primary driver of second quarter cash generation is operational. That’s one. And if I take down the bridge items that we laid out on the page, the corporate revolver is not part of the guidance. The entire shares – the next million shared we sell in third quarter. So that wasn’t our part of the guidance. And then we talked about the transaction elements not being part of the second quarter guidance as well.
Julien Dumoulin-Smith: Right. Excellent. And then just as you think about the trajectory for the company through the course of the year, obviously you guys would threw the guidance, but how do you think about that trajectory of improvement in the business? I mean, you guys obviously have a seemingly good degree of visibility, at least in the C&I side, given the backlog commentary earlier. What are you seeing as best you can comment today on what that trajectory looks like? And obviously keeping in mind that things are very fluid and things are certainly recovering at a pretty record pace, and it will be some weeks. But whatever comments or you can provide on that?
Tom Werner: Yes. So first let me acknowledge that or point to a great start to the year of profitable quarter and excellent performance here in terms of the comparables and great progress in commercial. So really strong start to the year. Of course, now things have changed in Q2 would be a pandemic. Guided Q2, Q3 we see returning better and of course states come back online on, there’s reason to believe that Q3 will be better. We have Q4 better than Q3 how we’re seeing it in terms of visibility. More importantly, because we’re no better at predicting the economy – world economies, that’s not our position. In the SPES part of the business, commercialized 90% in the year booked and all of those projects we expect to go and we are interfacing with our customers and engineers and that expectations based off of that. Should we still add some business to book for this year, but it’s a small percentage. In our channels business we have a lot of indicators of regeneration, late conversions, number of designs we do with our SunPower Design Studio. And those are all trending terribly, so much so that in the recent history we’re actually better than pre-COVID levels. Now that’s also a compounded by the zero down six months on SunPower program. So we have leading indicators in our short cycle business that are consistent with, probably say our guidance and our thoughts on Q3. In terms of Maxeon, I’ll let Jeff comment.
Jeff Waters: Say from a Maxeon perspective, first I’d say for Q2 we’re currently sitting at about 98% of our shipping and backlog at the number that we’ve given for guidance. So we feel good about Q2. So looking into Q3 and Q4, obviously it really just depends on how well things recover in Q3. But we have line of sight to getting back to the same volume that we shipped in 2019 for 2020. And some of that comes frankly from our ability to lean on the P Series joint venture that we have. This is the joint venture in China, a very low per capital life approach for us with that additional build out of 3 gigawatt capacity there. That’s something that we’re actively marketing and selling out in the marketplace.
Tom Werner: Okay. And I think Norm you could wrap it up.
Norm Taffe: Yes. Thanks Tom. Appreciate the chance to comment. Yes, just on the – from a channel business perspective, I would like to also emphasize that similar to other parts of the business, we do have – I think it’s better positioned for both going through the crisis as well as coming out the other side. I mean, actually what we’ve heard analysts say is, the expectations were 30% to 50% down year-over-year. And if you look at our guidance, we’re guidance better than the 30%. So just in Q2 obviously business has come down, but it’s coming back quickly. Part of that is also just frankly the strength of the fact that we have a significant new homes business, which will grow this year and we expect it will continue to grow even if not quite at the pace of pre-COVID. And then the fact that really unlike most of our competitors we’ve never relied on the retail or canvassing sales approach to any significant extent. So we’ve been generating our business digitally through our dealer network all along. And so my expectation is that, we aren’t as impacted as much. And then also frankly, we’ve been gaining share. We gain share in Q4, we beat our guidance in Q1 in residential. I’d be surprised based on what we’ve seen so far, if we didn’t gain share again in Q1. And then based on the guidance we’re giving things turn out the way we think we’re going to be gaining share again in Q2. So I think fundamentally the channels are very, very strong. We are actually expecting to be profitable in Q2 and generate cash in Q2 in the channel business.
Tom Werner: Okay. Thank you gentlemen for your questions. We’re going to have one more please.
Operator: Thank you. The next question comes from the line of Pavel Molchanov of Raymond James. Your line is open.
Pavel Molchanov: Thanks for taking the question. Your visibility on a lot of U.S. jurisdictions and each lockdown has its own nuances. Can you talk about which states residential solar is legally restricted and of the key solar markets which are seeing formal restrictions on installs.
Norm Taffe: Yes. No I can’t. And this is a little bit different just two weeks ago, but as of now, we’re really just down to New York and New York does remain almost entirely shutdown. There were some restrictions that were County by County basis a couple of weeks ago in the Bay Area. Those have been released as New Jersey. And New York there is some optimism, by May 15th, we’ll see some of upstate New York start to release, but for obvious reasons that has been shut off. But other than that we have not been limited – right now, we’re not limited outside of the state of New York.
Pavel Molchanov: And talking to your installers, are any of them seeing reluctance by their workforce to actually do the physical labor in a crew setting, even in places where it is legally allowed?
Norm Taffe: Yes, it’s a good question. We’ve seen a little bit initially. I think it’s pretty minimal. And frankly, as the demand came down, most people were just anxious to be able to continue with their job. Having said that, we did completely change the approach we take to installs to minimize any issue. Obviously, the safety of both the customer and our employees are paramount as well as our installers. So we potentially have criteria that they’re using, whether it be our own installers or indirect installers. Our channel they’re all wearing masks, they’re not carpooling. They’re keeping a distance to the extent they can on the jobs and they’re communicating with the homeowners really through phone, even from the house. They’re not through cell phone, they’re not actually talking in-person. So we’ve taken a lot of restrictions. There were a few issues early on, but nothing that I’ve seen recently. I think people are happy to have the job and it’s a job being that frankly you can operate reasonably well with a socially distant mindset.
Pavel Molchanov: Thanks very much.
Tom Werner: Pavel, I would say this is an area where the industries worked well together, particularly some [indiscernible] with us saying, should we all off to our safety measures in collaborative way, and it becomes super effective.
Pavel Molchanov: Thanks.
Tom Werner: Pavel, do you have a follow-on?
Pavel Molchanov: No. That’s perfect. Thank you very much.
Tom Werner: Thanks a lot and hope things are well for you. Thanks everybody for calling in this very unique time. We will come out of this stronger and we look forward to our call after this quarter. Thanks so much.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.